Operator: Welcome to the KP Tissue Second Quarter 2022 Results Conference Call. [Operator Instructions] Before turning the meeting over to management, I would like to remind everyone that this conference call is being recorded on Thursday, August 11, 2022. I would now like to turn the conference over to Mike Baldesarra, Director, Investor Relations. Please go ahead.
Mike Baldesarra: Thank you, operator, and good morning, ladies and gentlemen. My name is Mike Baldesarra. I'm the Director of Investor Relations at KP Tissue Inc. The purpose of this conference call is to review the financial results for the second quarter of 2022 for Kruger Products L.P., which I'll refer to as KPLP going forward. With me this morning is Dino Bianco, the Chief Executive Officer of KP Tissue and Kruger Products L.P.; and Mark Holbrook, the Chief Financial Officer of KP Tissue and Kruger Products L.P. The following discussions and responses to questions contain forward-looking statements concerning the Company's activities. Forward-looking statements involve known and unknown risks and uncertainties, which could cause the Company's actual results to differ materially from those in the forward-looking statements. Investors are cautioned not to rely on these forward-looking statements. The Company does not undertake to update these forward-looking statements, except if required by applicable laws. There's a page at the beginning of the written presentation, which contains the usual legal cautions, including as to the forward-looking information, which you should be aware of. I'd like to point out that all figures expressed in today's call are in Canadian dollars unless otherwise stated. The press release reporting our Q2 2022 results were published this morning and will be accessible from our website at kptissueinc.com. Please be aware that our MD&A will be posted on our website and will also be available on SEDAR. Finally, I'd ask that during the call to refer to the presentation, we prepared to accompany these discussions, which is also available on the website. We'd also appreciate that during the question-and-answer period for you to limit your questions to two. Thank you for your collaboration. Ladies and gentlemen, I will now turn the call over to Dino Bianco, our CEO. Dino?
Dino Bianco: Thank you, Mike. Good morning, everyone, and thank you for joining us for our second quarter earnings call. We delivered another strong quarter of double-digit revenue growth in Q2 2022, but the depth, breadth and speed of inflation severely impacted our operating results and lowered profitability. We expect a partial recovery in the third quarter as successive price increases begin catching up with the inflationary curve, productivity gains are realized in our Memphis operations and extensive cost management initiatives take effect. In the fourth quarter, we anticipate a full recovery based on peak pulp prices and reduced freight rates along with additional pricing adjustments. Consequently, we are highly confident about returning to normalized profit margins in the near term as the fundamentals of our business remain strong. Let's take a look at our financial performance on Slide 5. Robust revenue growth of 17.1% in the second quarter of 2022 mainly reflects selling price increases during the last 12 months, higher sales volume in the Consumer segment and significantly higher sales volume in the Away-From-Home segment as the business continues to recover from the impact of COVID-19. From a geographic perspective, revenue in Canada increased 9.1% year-over-year, while revenue in the U.S. grew 31.9%. In terms of profitability, adjusted EBITDA decreased to $11.8 million in the second quarter of 2022 mainly due to significant inflation on pulp, manufacturing costs and freight rates as well as higher SG&A expenses to support our Bonterra, UltraLuxe and White Cloud launches. These factors were partially offset by higher sales volume and selling price increases. We believe that Q2 2022 represents a trough in terms of adjusted EBITDA. As outlined last quarter, we have adopted a multifaceted strategy to counter inflationary pressure, including price increases across all our segments and regions, cost management initiatives through reductions in working capital and discretionary capital spending as well as productivity gains. These actions will begin to gain traction in the third quarter, enable us to exit the fourth quarter with a return of stability. Let's take a look at the dramatic rise of pulp on Slide 6. NBSK and BEK average prices in Canadian dollars increased more than 50% in the second quarter of 2022 from the previous quarter reaching record levels, while year-over-year prices rose markedly, too. NBSK and BEK average prices increased 13% and 21% in Q2 2022, respectively. Based on industry forecasts for 2022, NBSK and BEK prices are expected to remain at elevated levels, but with continued volatility. Turning to Slide 7. Pulp or fiber as a whole and freight expenses are two biggest cost items that were affected by inflationary pressure. Freight rates were up more than 35% in the second quarter of '22 compared to the same period in '21, while natural gas prices saw an excess of 150%. Average packaging costs continued to increase more than 15% year-over-year, and final labor expenses rose approximately 5% in the second quarter of 2022. The breadth and magnitude of these increases added up to an additional $45 million in expenses year-over-year in the quarter, with pulp and freight having the largest impact. We do expect inflation levels have peaked as we enter the back half of the year. To counter inflationary pressures, we have taken pricing actions and extensive cost management actions, as demonstrated on Slide 8. We have implemented several price increases across our Consumer and Away-From-Home divisions, both in the U.S. and Canada. We led with selling price increases last year and have followed up with several price hikes in the successive quarters to catch up with ever-increasing inflation. We do believe with the implemented and announced pricing that we have caught up to the inflation curve, and we'll deliver normalized margins in the fourth quarter. Altogether, we increased our average prices by 6% to 8% in Q2 '22 compared to the same period in '21 and estimate an additional 8% to 10% benefit impact in the second half of the year from announced price increases that were implemented in the second half. Despite all the announced pricing, the lag of industry implementation, which can take 6 to 12 weeks, has created an inflation impact for us in the quarter. In addition to pricing actions, significant cost management plans have been applied through the organization. Capital spending has been reduced, working capital has been lowered, productivity has increased and discretionary SG&A has been cut. In short, we are taking inflation on several fronts to return to profitable growth in the near term. Most of these actions will begin benefiting our profit in Q3. Moving on to our network modernization slide on Page 9. Our TAD Sherbrooke facility continues to exceed ramp-up plans, while Phase 2 of our AI implementation is progressing according to plan. In terms of our Sherbrooke expansion project, the start-up for our bathroom tissue line is now expected for Q1 2023 with the hiring and training phase on track. Start-up dates for the facial line and paper machine are scheduled for 2023 and 2024, but we're keeping a very close eye on the potential supply chain challenges and inflationary pressure that may come our way. Turning to our Memphis performance on Slide 10. Our operations continue to be a drag on our overall business, but they are recovering. We estimate that output in the second quarter increased 12% versus the previous quarter. A key reason for this improvement can be attributed to a stabilized labor situation with our Memphis operations fully staffed and trained in the second quarter. We have also reignited our OpEx program with third-party partners to improve efficiency. In addition, we have made significant investments on equipment maintenance and waste management programs. As a result, we believe that the Memphis drag on profitability peaked in Q2 2022, and we're anticipating substantial production improvements in Q3 and beyond. The Memphis lower production was offset by other plants in our network. I would also like to briefly comment on the start-up of our new facial tissue line in Memphis. It was up and running in July and surpassed our early growth curve. This new facial line represents an investment of approximately $28 million and will produce both TAD or - and LDC products, thus enabling us to accelerate growth opportunities. Now let's move to ongoing support for our consumer brands on Slide 11. Discretionary marketing spending has been reduced for the full year in response to the inflationary pressures. However, remaining investments are mainly focused on in-store and purchase-driving activities to mitigate the impact of price increases. Given industry-wide price hikes, it's imperative that we continue to support our brands to maintain consumer awareness and strong sales during this inflationary cycle. As such, we're building strong awareness and trial-driving activities for recently launched Bonterra, our new sustainability product platform. We're also supporting our new and improved UltraLuxe and White Cloud brands with similar trial-driving activities in both Canada and the U.S. In addition, I'm pleased to report that SpongeTowels UltraPro continues to perform well in the marketplace. Finally, on e-commerce. Our e-commerce sales were up more than 20% year-over-year in Q2 '22, well ahead of the total category. And this allows us to capture an additional 600 basis points. The data presented on Slide 12 is from Nielsen. It shows market share performance over a 52-week period ended on June 18, 2022. We have seen a slight decline in shares sequentially for our bathroom tissue and paper towel brands to 34% and 23.8%, respectively, in the second quarter. As for our market-leading facial tissue category, our share climbed to 36.7% from 36.2% in the previous Nielsen report. On Slide 13, the recovery in the Away-From-Home market continued throughout North America during the second quarter. We estimate volume was approximately 30% better in the second quarter of 2022 than Q2 2021. Property management remained one of the end-user segments that is still below pre-pandemic levels. Inflationary pressure on transportation, fiber and energy was also persistent in Away-From-Home in Q2 2022. Multiple price increases over the last 12 months will enable us to catch up the inflationary curve by year-end and help Away-From-Home deliver a very respectable year. I will now turn the call over to Mark.
Mark Holbrook: Thank you, Dino, and good morning, everyone. Please turn to Slide 14 for a summary of our financial performance in Q2 2022. Revenue increased 17.1% to $397.5 million in the second quarter from $339.3 million in Q2 2021. On a sequential basis, revenue was slightly down by 0.3% from $398.7 million in Q1 of '22. Adjusted EBITDA was $11.8 million in Q2, down 68.3% from $37.3 million in the same period last year and down 59.5% sequentially from $29.1 million in Q1 2022. From a margin perspective, adjusted EBITDA amounted to 3% in Q2 compared to 11% in Q2 last year and 7.3% in Q1 of 2022. In the second quarter of 2022, there was a net loss of $35.5 million compared to net income of $2.2 million in the same period last year. The $37.7 million decrease is primarily due to the lower adjusted EBITDA of $25.5 million, higher other expense of $13.2 million primarily from a foreign exchange loss on U.S. dollar debt and greater interest expense of $1.1 million. These items were slightly offset by a higher income tax recovery of $1.9 million. In the quarterly segmented view on Slide 15, Consumer revenue increased 11.6% year-over-year, but decreased 4.8% sequentially to $326.3 million in the second quarter of 2022. In the Away-From-Home segment, revenue grew 51.4% year-over-year and 27.3% sequentially to $71.2 million. Consumer adjusted EBITDA totaled $14.3 million in the second quarter of 2022 compared to $40.3 million in Q2 of '21 with adjusted EBITDA margin at 4.4% compared to 13.8% for the same periods, respectively. Sequentially, Consumer adjusted EBITDA was down by $21.1 million from $35.4 million in Q1 of 2022. For the Away-From-Home segment, adjusted EBITDA amounted to negative $0.5 million in the second quarter of 2022 compared to negative $0.4 million in Q2 of 2021 and negative $3.2 million in Q1 of 2022. Corporate and other costs were minus $2.0 million in Q2 compared to minus $2.6 million in the same period last year and minus $3.1 million in Q1 of 2022. On Slide 16, we review year-over-year revenue growth for Q2, which was $58.2 million or 17.1%. This improvement can be attributed to selling price increases in the last 12 months, slightly higher Consumer sales volume and a significant increase in Away-From-Home sales volume and a favorable foreign exchange impact on U.S. dollar sales. On a geographical basis, revenues in Canada rose $19.9 million or 9.1% year-over-year, while U.S. revenues grew by $38.2 million or 31.9%. On Slide 17, we provide additional insight into the profit impact in the second quarter. Adjusted EBITDA decreased $25.5 million to $11.8 million, a margin of 3% from $37.3 million or a margin of 11% in Q2 of 2021. The decrease in adjusted EBITDA was primarily due to significant inflation on pulp, manufacturing and freight costs, Memphis plant labor and productivity issues as well as higher SG&A expenses. These factors were partially offset by higher sales volume and selling price increases. Now let's turn to Slide 18, where we compare revenue in Q2 to Q1 of 2022. Revenue decreased by $1.2 million or 0.3% sequentially. This decline was mainly due to lower Consumer sales volume that was mostly offset by Away-From-Home with stronger sales volume and a price increase. By geography, revenue in Canada was down $3.6 million or 1.5%. And revenue in the U.S. was up by $2.4 million or 1.5%. On Slide 19, Q2 2022 adjusted EBITDA decreased sequentially by $17.3 million or 59.5% from Q1. This significant decline was due to several factors, including lower sales volume and less favorable mix, higher pulp and sorted office paper costs, inflation on input - other input costs, labor challenges in Memphis and higher maintenance costs and new product advertising and promotion as well as increased freight and warehousing costs. Adjusted EBITDA margin at 3% in Q2 was down from 7.3% in the previous quarter. Turning now to our balance sheet and financial position on Slide 20. Our cash position stood at $100.3 million at the end of Q2, a decrease of $113.7 million at the end of Q1 2022. Total debt at quarter end stood at $1.073 billion, up $87.8 million from $985.5 million at the end of Q1 2022. Net debt increased from $871.8 million to $973 million. The variation is mainly due to the Sherbrooke expansion project and other capital spending as well as an increase in working capital. Our net debt to last 12 months adjusted EBITDA leverage ratio rose to 8.1 times in Q2 of 2022 from 6 times in Q1 of 2022. Leverage increased due to a higher level of net debt and a lower adjusted EBITDA level in the last 12 months. At quarter end, total liquidity representing cash and cash equivalents and availability from revolving credit agreements stood at $129.4 million. In addition, $67.8 million of cash was held for the TAD Sherbrooke and Sherbrooke expansion projects. Going forward, liquidity will be positively impacted as a result of Kruger Inc.'s decision to increase its participation in the dividend reinvestment plan from 50% to 100%, effective on July 15. I will conclude my section by reviewing CapEx on Slide 21. CapEx amounted to $39.4 million in Q2 and $55.7 million after six months, including $10.9 million from TAD Sherbrooke and $20.7 million for the Sherbrooke expansion project. As noted last quarter, we expect a lower CapEx range between $160 million and $180 million for 2022, including incremental investments announced for the Sherbrooke expansion project. This represents a CapEx reduction of approximately $25 million on our existing site network as we prudently reduced our discretionary project spending. Thank you for joining us this morning, and I'll now turn the call back over to Dino.
Dino Bianco: Thank you, Mark. Just a brief word about our ESG efforts on Slide 22. As reflected by Reimagine 2030, we have set ambitious long-term goals to become an industry leader with our sustainable development program. During this journey, it's fitting to take stock of our accomplishments, which will spur us to leave the planet healthier than we found it. In particular, we take pride in being ranked fifth overall among the Best 50 Corporate Citizens for 2022 in Canada and first among tissue paper companies based on the latest research by Corporate Knights. I will conclude with Slide 23. Our main goal remains to grow the business for the long term, while managing inflationary pressure. Amid this challenging environment, we continue to deliver strong top-line growth. We expect price increases and cost efficiencies to begin mitigating inflationary pressure in the third quarter, with a full recovery projected for the fourth quarter. We're prudently investing in our brands to support price increases in the market, while building awareness and trial-driving activities for Bonterra, UltraLuxe and White Cloud. For network modernization, our TAD Sherbrooke facility continues to ramp up ahead of expectation, while the Memphis turnaround plan is expected to yield benefits in the second half of the year. Our Away-From-Home segment is recovering across North America and will benefit from price increases and strong volume in the second half of the year. And finally, we continue to invest in our organization and culture to drive growth and capability for the future. Despite a soft quarter, the long-term fundamentals for our Company remains very strong. We are going through a very difficult cycle right now, but I believe we have taken the right actions to create a more profitable business for the future. As I turn our attention to the outlook for the third quarter of 2022, we anticipate continued revenue momentum in the third quarter for both our Consumer and Away-From-Home segments and expect selling price increases across the business to begin offsetting inflation. As a result, Q3 '22 adjusted EBITDA is expected to be up significantly compared to Q2 and in the $28 million to $36 million range. We will now be happy to take your questions.
Operator: Thank you. [Operator Instructions] The first question comes from Hamir Patel of CIBC. Please go ahead.
Hamir Patel: Hi, good morning.
Dino Bianco: Good morning, Hamir.
Hamir Patel: Are you seeing any signs from your retail partners of consumers shifting to some of your lower-priced brands or competitors' brands? And are you planning any increase in the mix of your more value-oriented products?
Dino Bianco: Yeah, Hamir, that's a great question. And I think we're at a very transitionary state right now with the consumer, with business. I mean, the consumers being faced with inflation across virtually all - at least all grocery products that they're buying. What I would say to you is what we're seeing and we saw a little bit of this in Q2 is that we saw consumers starting pantry de-load. So instead of having a couple of packages in their cover, they would have used that up and not gone to buy. So we saw some pantry de-load. We're seeing, instead of multiple purchase, single purchases, we're seeing consumers either migrate. There's two types of consumers, those that are fixed budget and are migrating to smaller pack sizes, and those that are shopping for value that are migrating to large pack sizes. So you're seeing that bifurcation of the category. You're seeing some movement to discount retailers. I think a lot of the retail companies have reported are talking about that. Consumers are looking for value. And the way we're approaching this, obviously, we recognize it's a very difficult environment for the consumer. We're approaching this by making sure that we continue to support our brands and build awareness more in-store than we would normally. We are focusing on certain pack sizes that we know is a sweet spot for the consumer, either on the smaller size or larger size. We are focusing on some of our portfolio that maybe has a stronger value equation. As you would know, we represent everything from base value all the way to ultra-premium and various sizes across bath tissue, paper towel and facial. So we're really picking the segments where we believe is a sweet spot for the consumer. And then, of course, we're also working with the different retailers, whether they be the value segment or full grocery to promote the right products in those channels for the consumer that's going to shop there. So there's a lot of uncertainty in the marketplace, for sure. These are patterns that we have started to see. We probably will see a little bit in July and August as the market gets climatized, I would say, to the higher price points and the behavior starts to maybe return to a little more normalcy.
Hamir Patel: Great. Thanks. That's helpful. And just turning to the TAD Sherbrooke. It seems like the facility, I think it's been quite a few quarters where it's been characterized as ramping up ahead of plan. Could you comment with respect to where the operating rate of that mill might be today? And if it is exceeding plan then when do you expect to be fully ramped up?
Dino Bianco: I suspect we'll be fully ramped up by next year. I mean, we had - I think our base plan had a three-year plan to ramp up, we'll be ramped up ahead of that curve, for sure. We're adding the fourth line next year, the fourth BT line. So we're making sure that the paper machine can run increased speed and output to be able to now service for converting lines at that facility. So I feel very confident about Sherbrooke. It has been a success on so many fronts in terms of the ramp-up curve, the stability of that curve, the quality of the product that's coming out of that facility, the automation we're putting in with AI. So we will be ahead of the ramp-up curve. I don't show it here, but - and I won't talk about it, but in addition to being ahead in terms of operating efficiency, tons produced, cases produced, we also are ahead of the cost curve on that facility.
Operator: Thank you. The next question comes from Sean Steuart, TD Securities. Please go ahead.
Sean Steuart: Thanks. Good morning, guys.
Dino Bianco: Good morning.
Sean Steuart: A couple of questions. Let's - can we start with pulp costs? It does feel like prices are cresting at this point. And the question is, do you sense any potential relief later in the year? And following on that, your parent has bought all capacity Kamloops. Does that defray the pressure for you guys to any extent in your cost base?
Dino Bianco: Well, let's start with the first one, Sean. Pulp, as you saw in those charts that I'm sure as all the other tissue companies reported has been escalating. There's also a third element, which is sorted office paper, which we also use. That has also been a very, very high level, record levels. We are seeing some stabilization in pulp pricing. We have not seen price increases announced for July and August. We anticipate the back half to be on a stable base. I don't - meaning I don't expect it to go any higher. I don't know if it will come down, but we at least expect it to be stable. But I got to tell you, like everybody, my crystal ball is a little cloudy right now, just so many things going on in the global supply chain, inflation market, geopolitical. So we have taken pricing and have now with all the pricing that's been announced and implemented, we feel we're on the right cost curve and, of course, pulp being the big one. So I guess the short answer is we do believe pulp has peaked at a high level and will likely stay sideways for a while at that level. But we're ready. If anything, we've learned is to be ready to pivot as the market changes. As far as the acquisition of Kamloops, obviously, that's an independent company, a separate company. And I would say any impact that would have to our Company would be minor, because we would be buying pulp at market prices. So there's really no benefit for us being a publicly traded independent company, any transactions that we - if we have any with that facility, it would be at market.
Sean Steuart: Understood. Second question, the controllable cost measures you're taking, and you highlighted a few working cap reductions, SG&A reduction. Can you - the four buckets you identified, can you give us a sense of when that's expected to contribute more than the others? Any metrics you can put around those objectives? Any detail you can provide there?
Dino Bianco: Yeah. I'm not going to give you detail, I'm sorry, Sean. But here's what I would tell you. We're doing two things. One is on the non-EBITDA ones, Mark talked about the reduction in capital. So we're only doing critical capital only, we did the Memphis facial line, any capital related to safety, any capital related to environment. So we're really being discretionary capital investments only. We recognize we're in a cycle here, and we have to make a tough decision. So capital is one big bucket. It's cash, not EBITDA. Inventory reduction is a big one. We're watching this one as - first of all, the cost of our inventory has gone up because of all the inflation, so significant increase in just the cost of our inventory, which is tying up working capital. Our facilities, particularly, Memphis is starting to turn around now, our facilities are going to operate very well. So we're starting to build production. And we just got to watch the consumer demand, the volume curve on that. So inventory is a key focus area for us, both finished goods and parent rolls and pulp. So that's an area we got high focus on. Then on the EBITDA front, the area probably where we're spending the most amount of time is on productivity, how do we drive more productivity, waste reduction in our facilities, eliminating nondiscretionary costs. A lot of this is in the facilities. We don't want to do anything that's going to impact the long term or create a risk to the business. So that's probably because of the cost base there, that's there has one of the biggest dollar opportunities for us. And then, of course, on the SG&A advertising front, we're making the smart decisions there to push out any nondiscretionary - push out discretionary spending, being smart on hiring, use of outside services, maybe reducing long-term equity building for marketing and focusing more on short-term marketing-driving activity. So that's kind of the mindset that we're going through as we have implemented our cash preservation program.
Operator: Thank you. The next question comes from Zachary Evershed of National Bank Financial. Please go ahead.
Nathan Po: Good morning, everyone. It's actually Nate calling in for Zach. Thanks for taking my question.
Dino Bianco: Morning, Nate.
Mark Holbrook: Morning, Nate.
Nathan Po: So the first question I had was on leverage. So we saw that leverage ticked up quite high this quarter. How are you thinking about that? And any covenants that you have?
Mark Holbrook: Yes, Good morning, Nate. Leverage is quite high right now. We are expecting it to actually peak in Q3 as we continue with our debt financing on the Sherbrooke expansion project, and also our LTM EBITDA impacts that. And then we would expect it to improve going forward. Keeping in mind, and when you look at our credit agreements and covenants, they're all set up by legal entity and project on a stand-alone basis. So for that debt, it reduces any risk or exposure that we have on the credit side compared to what you're seeing as on our chart on the overall total Company leverage view there. So we do have good strong relationships with all our lenders in terms of covenants in that aspect. So we will manage that very closely as we go forward. Everything is in good shape at the end of Q2.
Nathan Po: All right. Thanks. That's helpful. And second question is about - is on - following up on the pulp predictions. So you mentioned the full recovery in Q4 based on peak pulp and mentioned that you perhaps saw it going sideways. So what critical factors are driving your pulp pricing forecast?
Dino Bianco: Well, we don't - our forecast for pulp comes from our - the industry and pulp suppliers. So they certainly have a much more - they're much closer to it than we are. I think you're seeing a lot of things. You're seeing, obviously, the cost of production going up. You're seeing disruption in global supply chain, some of it driven by the Russia-Ukraine war. You're seeing continued inflation in supply chain. You're seeing pulp inventories in different places than maybe where the demand is. So I think the things that are affecting the normal supply chain for every other product in the world is definitely affecting pulp. There has been some unscheduled downtimes that have also happened here, which has reduced some of the supply. So for me, it's just a microcosm of what is being seen by many other commodities across the globe. So - and it is a cyclical business by nature. We just happen to be on a very high cycle right now, given normal cyclical time plus the amplification of what's going on with inflation and cost of production and supply chain.
Operator: Thank you. [Operator Instructions] The next question comes from Paul Quinn of RBC Capital Markets. Please go ahead.
Paul Quinn: It seems like you've been hit with a lot of pulp SOP and freight cost. If you could give us a rough percentage of what those three buckets represent of your total cost?
Dino Bianco: What they represent of our total cost? Is that your question, Paul Yeah, I would say of the total impact that we've had, they're probably in the - of the $45 million that we talked about inflation, I would say they're probably 70% to 80% of that cost is in those three factors.
Paul Quinn: Okay. So 70% to 80% of $45 million. And what percentage of overall cost for those three, are they somewhere around 35% to 40%?
Dino Bianco: Yeah, we don't typically disclose that, but let's just say very high. I mean, pulp is our Number 1 manufacturer input cost, and we do spend a lot on freight because the nature of our distribution model to customers. So I'm not going to give you a percentage, Paul, but they are both very large. In fact, the largest surprise for us has been freight. I mean, pulp, we've dealt with pulp in the past, maybe not at these levels. But we've seen the cycle in pulp. The cost of freight, inbound and outbound, availability of carriers for a business like ours that has quick turnaround, and we saw it particularly in certain lanes that we use. So that to us has been probably the largest, I would say, surprise in terms of the magnitude that's been there. If there is good news on freight like the discussion I just had on pulp, we're starting to see some of that start to decrease. So I don't know if it's a permanent step down, but we're starting to see more availability of carriers, better spot markets. So hopefully, that's a sign of more stability and benefit in the freight market.
Paul Quinn: Okay. And then you reported e-commerce up 20% year-over-year. What's the percentage of total sales that e-commerce represents right now?
Dino Bianco: For us, it's about 5%, give or take. I mean, it's always imperfect data because you're relying on - it doesn't have the same quality of data that you would get out of share because you're reading POS. So - and some of it is through bricks-and-mortar e-comm, some through direct e-comm. So it's a bit of an extrapolation, but I'd say it's about 5%.
Paul Quinn: Okay. And then last quarter, when you guided Q2 would be significantly below, in average, Q1 results. Do you anticipate this kind of result that you released this morning?
Dino Bianco: It was in the range that we were expecting, yeah, I mean, we - I guess like any company, you're hoping inflation would finally turn around or whether it be something good that would break your way. Unfortunately, we didn't see that. I mean, volume is strong. So I think, as I said earlier, the long-term fundamentals of our business remain very good. And our volume has continued to be strong. But everything that happened on the cost curve, it just broke the wrong way for us. I talked about the lag in pricing. We've announced across all our businesses, just for perspective here, Paul. I didn't give this in the prepared remarks, but I don't think it's anything I can't share. We've announced over 10 price increases since July 1 of 2021, between the U.S., Canada and Away-From-Home, different periods of time. We just have not been able to catch up to the inflation curve. As I mentioned, there's just a structural - in the North American grocery segment, there's just a structural six- to 12-week delay in when you can get pricing through. So the moment you catch up to it, you got to wait sometimes three months. And by that time, Paul, inflation's moved again on you. So I would say I'm happy with our volume. I'm happy with the launches that we did. We had those launches planned last year, so they were already moving through the pipeline. Costs continue to come our way. And then I would have - we would have hoped for a little better performance out of Memphis, but it's been a tough labor market. And we've put a lot of investment to get that facility turned around. So we're improving, and we expect it now to - now that we've got all the investment to start ramping up as we move to the back half.
Operator: Thank you. There are no further questions at this time, please continue.
Dino Bianco: All right. So I'll conclude. Thank you all for joining us on this call today. We do look forward to speaking with you again following the release of our third quarter results in 2022. Thank you. Have a great day. Enjoy the rest of your summer.
Operator: Ladies and gentlemen, this does conclude your conference call for today. We thank you for participating and ask that you please disconnect your lines.